Operator: Good morning and welcome to The J.M. Smucker Company's Fiscal 2022 Third Quarter Earnings Question and Answer Session. [Operator Instructions] I will now turn the conference over to Aaron Broholm, Vice President, Investor Relations. Please go ahead, sir.
Aaron Broholm: Thank you, Kevin. Good morning and thank you for joining our fiscal 2022 third quarter earnings question-and-answer session. I hope everyone has had a chance to review our results as detailed in this morning's press release and management's pre-recorded remarks which are available on our corporate website at jmsmucker.com. We will also post an audio replay of this call at the conclusion of this morning's Q&A session. During today's call, we may make forward-looking statements that reflect our current expectations about future plans and performance. These statements rely on assumptions and estimates and actual results may differ materially due to risks and uncertainties. Additionally, we use non-GAAP results to evaluate performance internally. I encourage you to read the full disclosure concerning forward-looking statements and details on our non-GAAP measures in this morning's press release. Available today on this call are Mark Smucker, President and Chief Executive Officer, and Tucker Marshall, Chief Financial Officer. We will now open up the call for questions. Operator, please queue up the first question.
Operator: [Operator Instructions] Our first question is coming from Andrew Lazar from Barclays. Your line is now live.
Andrew Lazar: Great, thanks so much. I know it's too early to discuss some fiscal '23 outlook in any real detail at this stage. But, I guess, I'm thinking about marketing spend, specifically, I realize the current-year marketing spend is a bit lower, partly due to comps, partly due to capacity constraints and such, but as you look forward to next year when the company, presumably you will want to lean into retaining as many new households as possible, presumably have more capacity and not to mention likely need to step up market pressure on pet food as well. We do expect marketing to sort of bump back up to within the Company's target range of about 6.5% to 7% of sales from, I think, you mentioned in the prepared remarks a bit below 6% expected this year. And if so, are there the other levers that you have to still manage SD&A for the year where you could still get some leverage on that line item even in the face of this? Thanks so much.
Mark Smucker: Good morning, Andrew. It's Mark.
Andrew Lazar: Good morning.
Mark Smucker: Thank you for the question. We are very much committed to continuing to invest in our brands and that as we have over the last two years and going forward, we will remain very committed to spending the requisite dollars against our brand. I would highlight couple of our previous comments on our more recent calls that we have become more efficient in our spend and we have been able to get better bang for our buck on our marketing spend and also just the fact that there has been so much inflation makes the percent of sales look lower or lower but in terms of what we're committed to we did have a little bit of a down quarter but I want to be very clear with all of the, our investors that we are committed to maintaining the momentum, we've had great, over two-thirds of our brands continue to grow or maintain share and so our strategy clearly is working, shifting our resources to the highest growth opportunities and in this inflationary environment is really only so much you can spend, but rest assured that we are committed and we will continue to support our brands now and ongoing.
Andrew Lazar: Great, thank you for that. And then coffee profitability came in quite a bit stronger than we had modeled and I guess, despite the rapid rise in coffee cost, would you anticipate more of a headwind on profit in fiscal 4Q in coffee or is the incremental pricing expected to hit in 4Q, do you think it will be enough to sort of manage through this in the closer-in-time frame? Thank you.
Tucker Marshall: Andrew, good morning. We have experienced green coffee cost inflation throughout our entire fiscal year and we have taken the necessary pricing actions to recover on a dollar for dollar basis that cost inflation but we have known that the significant step up in green coffee cost inflation occurs in our fourth quarter and then will continue onward into next fiscal year.
Andrew Lazar: Got it. Thank you very much.
Mark Smucker: Thank you.
Operator: Thank you. Next question today is coming from Ken Goldman from JPMorgan. Your line is now live.
Ken Goldman: Tucker, in terms of the reduction to your EPS guidance, I know it's difficult, but is it possible to maybe parse out a little bit how much is being driven by, I guess, inflation and some other incremental headwinds versus how much is merely the mathematical impact of the - of the newer divestitures?
Tucker Marshall: Yes, good morning, Ken. So, I'd like to start on the top line and then follow through to the bottom line. At the top line, our change in guidance predominantly reflects the two divestitures that we completed in our third quarter. So, underlying organic top line growth is still anticipated to be 4.5% year-over-year for the full year. That's consistent coming out of our second quarter call and currently on our third quarter call. With respect to the guidance at the bottom line, taking the midpoint of our previous guidance range of $8.55, we over delivered the third quarter by approximately $0.25 that was primarily due to SD&A expenses and some timing of marketing from the third quarter into the fourth quarter, then we are essentially giving back $0.30 in our fourth quarter, of that is $0.05 due to divestiture, $0.20 due to incremental cost inflation which is impacting gross profit dollars of about $30 million primarily within our pet portfolio, and then lastly, is a $0.05 impact to additional SG&A expenses in the fourth quarter, some of that is timing coming out of the third into the fourth as I have previously noted.
Ken Goldman: Great, that's clear. Thank you. And then for my follow-up, can you discuss the, I guess, the timing of the impairment charge to Nutrish. I appreciate this reevaluation or revaluations rather, the results of regular reviews, but what was new in your analysis or you're thinking that drove you to conclude the growth would be lower than what you previously expected, I guess in other words, why now and does this change your plans to turn around the business next year with that new ad campaign?
Tucker Marshall: So, Ken, annually, we go through a long-term strategic planning process, we usually complete that around this time of year and what it reaffirmed is our intention within the pet portfolio to accelerate snack growth, maintain momentum in cat food growth and continue to improve the dog food portfolio. As a result, we are reallocating our resources within that portfolio toward snacks in cat and as a result of that reallocation of resources to our high and best use of return for our strategic growth portfolio in there, we moderated or reduced the long-term net sales outlook for the overall Nutrish brand and that's primarily driven by the dry dog food component, but we still are committed to improving the performance of our overall dog food portfolio.
Ken Goldman: Great, thanks Tucker.
Operator: Thank you. Next question is coming from Laurent Grandet from Guggenheim. Your line is now live.
Laurent Grandet: Yes, good morning everyone.
Mark Smucker: Good morning.
Laurent Grandet: So, two questions for me. Good morning. The first is on Uncrustables, so still seeing strong growth coming from that line and we are seeing this as well in Nielsen but as your new line is coming, if I'm correct and outside fiscal year '23, should we, is there any potential issues in term of capacity constraint in fiscal year '23 or, I mean, the ramp-up should you continue to grow 30%, 40% in that product and you will get the new lines up and running? That's my first question.
Mark Smucker: Laurent, its Mark, thanks for the question. Obviously, we're incredibly pleased with Uncrustables, 31 consecutive quarters of growth, double-digit in all but maybe one or two of those quarters. So, and then we have essentially hit our $0.5 billion sales target more or less a year early. So, on a 12-month run rate basis, we have already achieved that goal and you are correct. We are adding capacity in Colorado and we broke ground on the facility in Alabama, which is going to take a couple of years before it's online but the investments we are making in capacity will clearly support increased demand and we have high confidence that we will continue to see double-digit growth. Truly capacity is the only constraint, if you think about demand, lower household penetration, the fact that we haven't totally unlocked new channels of parts of our Away From Home channel, Canada is an area that would come online at some point in the future, and then of course marketing, we have not turned on marketing for Uncrustables either. So, there is a lot of tailwinds that we see in the future and our focus right now is just continuing to make sure that we ramp up capacity as quickly as possible to support the double-digit growth.
Laurent Grandet: Thanks, Mark, very helpful. And then, I mean, in terms of M&A, at CAGNY you mentioned you were envisaging to do a larger M&A outside your core business at least, I mean, the cat was on the table and that was a departure from your previous communications where you were more thinking about doing tuck-in acquisition in existing businesses. So, when speaking with investor post CAGNY, there was kind of a bit negative on that comment. So, could you - could you explain maybe a bit more what's the rationale on trying to go outside your core three businesses and what could give some pretty more comfort to investors should you do that?
Mark Smucker: Sure. I guess what I would like to clarify first is that it is not a departure from our stated M&A strategy. We have always for many years talked about M&A being a very important part of our growth. It just so happens that in the last couple of years, we've had divestitures and there haven't been meaningful acquisition targets or affordable acquisition targets that were of interest to us. So, what I would like to just emphasize is that we continue to look at M&A. We will continue to look at M&A. We've made great strides in reshaping our portfolio. The only nuance that might be a little different is that we - we would be unlikely to do a small M&A emerging brand in a category that we currently don't play in. Other than that we would be looking to invest in meaningful M&A that potentially gives us a leadership position in a new and growing category or a bolt-on acquisition that helps round out one of our existing categories and those latter two comments are not new but you won't see us entering new categories with small emerging brands.
Laurent Grandet: Thanks, Mark, for the clarification. I pass it on. Thank you.
Mark Smucker: Thank you.
Operator: Thank you. Next question today is coming from Chris Growe from Stifel. Your line is now live.
Christopher Growe: Hi, good morning.
Mark Smucker: Good morning.
Christopher Growe: Good morning, I just, I had a question for you on the Pet division and it is a division where we saw pricing accelerate pretty nicely and while volume was down, the profit performance weakened and the margins moved down to the low teens. So, I know that Tucker, you mentioned some incremental inflation coming through in the fourth quarter. I just want to get a sense, does that margin gets - get worse before it gets better, I guess, I'm ultimately get into kind of the timing of pricing coming through and how that can help offset this incremental inflation in the fourth quarter?
Tucker Marshall: So, Pet has experienced, as most of our businesses have experienced throughout the year persistent and ongoing cost inflation and they have taken multiple rounds of pricing to recover that inflation. And so what we are experiencing are two dynamics now. The timing of pricing against cost recovery or cost inflation and secondly incremental costs that are coming into both the third and fourth quarters that we will also have to recover as well. So, we would envision that Pet will still see - continue to see some down margin but over time as pricing catches up to the inflation and we continue to advance productivity that will support the business.
Christopher Growe: Okay, thank you. And then I just was curious on the Coffee division, a bit of a similar question, but, in that, that's a division where you have historically been pretty well hedged, there obviously is significant inflation in the input costs, I just want to get a sense of, you've had a strong volume performance in that division, does that cause you to maybe to run through hedges more quickly and then is that also one where we should see that sequentially increasing rate of inflation in the fourth quarter given what we're seeing in the spot market?
Tucker Marshall: Chris, we don't disclose our hedging positions, but what I offered earlier on the call was that we have experienced green coffee inflation throughout our entire fiscal year. We have taken pricing actions to recover on a dollar for dollar basis that inflation and that our most significant step up in green coffee costs occurs in the fourth quarter, this quarter and will continue onward and we will continue to address that inflation.
Christopher Growe: Okay. Thank you for that.
Operator: Thank you. Your next question is coming from Steve Powers from Deutsche Bank. Your line is now live.
Steve Powers: Hi, thanks. Sticking on the inflation topic, in terms of the incremental costs that you're expecting in the fourth quarter, can you just parse out, is that, is that incremental raw materials and packaging costs or is that other costs related to supply chain challenges and what the mix of that incremental inflation is?
Tucker Marshall: So, in our fourth quarter, what is new news from our previous guidance is that we continue to see additional inflation primarily in the ingredient transportation, packaging and manufacturing side that is predominantly impacting our Pet portfolio in Q4.
Steve Powers: Okay. And then the, in terms of elasticity assumptions embedded in the fourth quarter, can you elaborate a little bit on the anticipated elasticities that you've baked is that based on your observed trends to date or are you anticipating incremental elasticity as more pricing is layered on?
Mark Smucker: Steve, it's Mark. Let me just start with a general statement which is as we have all year, we have adjusted our pricing to recover dollar for dollar cost and that does include some productivity initiatives as well and so recent pricing actions are no different. And now would even include pricing actions that we have taken, even in the last few weeks. So, the goal of course is to maintain the momentum of our brands including investment and offset the inflation. In terms of elasticity, we have enjoyed better than historical elasticities and, but we've been very prudent as we forecast forward to make sure that we're building into our forecast what we think are realistic elasticities and so there could be a bit of moderation, but we want to make sure and make sure that our investors know that we are taking a prudent approach to how we're forecasting the business. And I guess the last question or the last comment I would make just on a, from an inflation standpoint, as the whole industry and all industries for that matter are experiencing this, but even within our industry, just to remind ourselves that the tide does raise all boats and since it is pretty ubiquitous across every single category, I think what that does do it does keep the playing field fairly level.
Steve Powers: Yes. Okay, thank you. And just to play that back though, so, you're, you're, what you've baked in is, anticipated is more informed by kind of historical elasticity as opposed to what you've enjoyed most recently, is that a fair statement?
Tucker Marshall: Steve, what we have done is, we have built our forecast on recovering the cost inflation and the timing of covering that cost inflations from pricing actions while putting our best estimate in for the impact of price elasticity of demand, we have done that consistently throughout our fiscal year and as we've taken additional waves of pricing throughout our fiscal year. I think what Mark has acknowledged is, is that those elasticities have performed better than historical and we would acknowledge that we'll continue to monitor as we move through our fourth quarter and into our next fiscal year. And then I would also acknowledge to a previous question that we are still calling for underlying organic top line growth year-over-year of 4.5%, which is consistent coming out of our second quarter and currently on this call.
Steve Powers: Okay, very good. Thank you so much.
Mark Smucker: Thank you.
Operator: Thank you. Your next question today is coming from Robert Moskow from Credit Suisse. Your line is now live.
Robert Moskow: Hi, thanks. I'm just curious about the whole philosophy on providing quarterly guidance. I'm looking at your past quarterly guidance, in the last five or six quarters and it seems like you've been beating it very consistently and to a very large degree and so I want to know what's going right, I guess, on these quarterly cadences, especially over the last two, like what surprised you positively, like for example for third quarter, I could have sworn that there was going to be a mismatch in coffee in third quarter, that was the expectation, did that turn out better than you thought? And then going forward, do you think in this volatile environment that quarterly guidance is still possible to give?
Tucker Marshall: Rob. Good morning. We are committed to providing the visibility and transparency needed on an annual basis for our long-term top line and bottom line guidance and we will continue that path or avenue forward. You are correct. As we have come through the elements of a global pandemic inclusive of a disruptive and uncertain supply chain and cost inflation, we have given a sense of direction for the upcoming quarters, primarily to make sure that we were in lockstep with how we were going to deliver our fiscal year or deliver against that annual guidance. The second quarter was really favorable momentum that was coming through the business that resulted in top line and bottom line exceeded expectations as we've come into our third quarter really the top line and bottom line have performed in line with expectations. We delivered ahead primarily due to favorability and SG&A expenses inclusive of marketing some of that SD&A resets back into our fourth quarter, which we have acknowledged. Our fourth quarter is really coming in from a top line perspective as we anticipated from a guidance standpoint after you isolate the effect of the two divestitures. So, we really believe that we have our arms around how we're thinking about guidance on an annual basis and delivering each quarter. And then lastly is, is if you really pull up kind of the 30,000 feet, you can see that our business is performing from a share perspective. Mark has talked about our commercial and operational excellence in order to deliver the business in this environment. So that's how we're thinking about delivering the year.
Robert Moskow: Okay. I appreciate it. A follow-up question though, most people would argue that inflation continues to rise from here, that we're not done with inflation and supply chain disruption probably will continue as well, given that you and the whole industry is really playing catch up, is it fair to say that maybe the first half of fiscal '23 will still be a catch-up period in this dynamic?
Tucker Marshall: Rob, what I acknowledge is that we will continue to navigate an inflationary environment and a disruptive supply chain as we move forward. But what we need to do is continue to take the necessary actions to ensure stability within the supply chain, to ensure that we are recovering the cost inflation either through pricing actions or productivity savings and thinking about advancing the ongoing momentum of our business inclusive of at-home consumption and the growth or return to growth of our Away From Home business and then underpinning all of that, we will continue to make strategic investments in the business to support our coffee, pet and consumer portfolios.
Mark Smucker: Hi, Rob, it's Mark. I would just add one comment about the supply chain and Tucker is right. We expect the disruption to continue what I - on a positive, we have made great strides in managing what we can control and I've highlighted on the previous couple of calls how our execution has been excellent and our people have - it's a tribute to our people that they've been able to stay focused on the day-to-day and the execution and notably one area that we have made some improvement is in labor. So labor being an area that we can control of late, we've actually made some headway there. And there are going to be things just to acknowledge, some things will be out of our control, but the fact that we've made improvements in staffing as well as expanding our supplier base over the last many months has definitely allowed us to manage our supply chain better.
Robert Moskow: Okay. Thank you.
Mark Smucker: Thanks.
Operator: Thank you. Next question is coming from Peter Galbo from Bank of America. Your line is now live.
Peter Galbo: Hi guys, good morning. Thanks for taking the questions.
Mark Smucker: Good morning.
Peter Galbo: Tucker, I just wanted to follow up actually on Rob's question, thinking about the fourth quarter and maybe more of a clarification, if we just take kind of the inputs you've given us for 4Q, you end up more towards the high end of the revised range or the very high end of the revised range, and just, I wanted to make sure if that math checked out or what would cause you to deviate from that, just given what you've - given what we know from you at this point?
Tucker Marshall: We feel very comfortable with delivering the midpoint of our revised guidance range, which is around $8.50. Since we have found ourselves into the final quarter, you can acknowledge that $8.50 translates into $1.85 approximately for the fourth quarter, we feel comfortable where that sits today knowing both the puts and calls to deliver our fiscal year. So that is how I would probably answer your question, I don't know if that's helpful but that's where we stand.
Peter Galbo: Okay. And the one other thing I just wanted to clarify, I think last week at CAGNY, you had kind of mentioned capital return or share buyback would kind of help offset some of the dilution from earnings and that wasn't in this morning's release or in any of the prepared comments, just post some of these divestitures I wanted to see if that was still part of the plan in 4Q and going into next year? Thanks very much.
Tucker Marshall: Sure. So we remain committed to our balanced capital deployment model with a strong balance sheet and we do have excess cash in the balance sheet along with strong short-term borrowings and we will evaluate how we deploy that capital here in the near-term and over the long-term to ensure that we replace those divested earnings.
Operator: Thank you. Your next question is coming from Jason English from Goldman Sachs. Your line is now live.
Jason English: Hi, good morning folks. Thanks for slotting in.
Mark Smucker: Good morning, Jason.
Jason English: A couple of quick questions, you mentioned that so far in the coffee segment, you've been able to match the dollar-for-dollar increase in commodities with dollar-for-dollar increase in price. Will that also hold true as we step up on cost inflation in the fourth quarter or will there be a bit of a lag there?
Tucker Marshall: We have timed our dollar-for-dollar green coffee inflation against pricing actions in the fourth quarter.
Jason English: Okay, that's helpful. So now, stepping up to a higher level, then this would call for a substantial increase in price contribution in the fourth quarter, yet your implicit guidance is for somewhere around 5% organic sales growth, which is certainly lower than we were out and lower than where our consensus was, where is the offset, are you seeing more volume erosion, anticipating more volume erosion or as our expectation of a sizable sequential step up in price misplaced?
Tucker Marshall: What we would envision in our fourth quarter is as we are taking into account the pricing actions that we have taken throughout our fiscal year and the impact to Q4, we have also acknowledged the underlying momentum of the business and we have accounted for the impact of price elasticity of demand by taking material pricing against material inflation.
Jason English: Okay, thank you. I'll leave it there.
Operator: Thank you. Your next question is coming from Pamela Kaufman from Morgan Stanley. Your line is now live.
Pamela Kaufman: Hi, good morning.
Mark Smucker: Good morning.
Pamela Kaufman: I wanted to follow up on the write-down on Nutrish and just to ask more broadly, if there are any learnings or things that you would do differently in the future when it comes to M&A or in managing your existing brands based on the experience you've had with this brand?
Tucker Marshall: Yes, Pam, I would say that we recognize that the category has changed a lot since we acquired that brand and acknowledge that our strength is really in pet snacks and cat food and notably we actually did take the number one position in dry cat food in the last 12-week period with Meow Mix. So, just have we learned, absolutely, right and I think anticipating how that the dog food category has gone and the fact that we are not one of the leaders in the dog food segment of the category speaks to the fact that again our portfolio re-shape, making sure that we're spending our dollars and resources against the areas where we're going to see the most growth and we will remain committed to stabilizing Nutrish and our dog food portfolio, but clearly where our strength lies is pet snacks and cat food.
Pamela Kaufman: All right, thanks, that's helpful. And then can you talk about the outlook for future price increases, do you anticipate needing to raise prices further and although demand elasticity has been better than expected, can you discuss how retailer receptivity to further pricing looks and if you would expect any pushback?
Tucker Marshall: Sure. And part of the answer is the same answer I gave a little bit earlier, but just, we can't anticipate what other pricing may come. I would acknowledge and we've talked a lot about coffee. I would just highlight the coffee prices, coffee commodity costs are not at record highs. So, we have seen higher costs such as a one small data point, but the comment really is that we have been very diligent and prudent in adjusting our prices throughout the year for inflation and we have been very prudent in how we have taken those and really just following inflation and making sure that our price increases are truly justified from a cost standpoint and so we have been very successful in doing that. The intent is to recover cost and all of the pricing actions even the most recent ones are no different. And so really, we have to remain focused on maintaining the great top line momentum we've got including investing in our brands while we're offsetting the cost increases. So that will remain our focus and the receptivity has been good, every - as I mentioned earlier, everybody is experiencing this, and so retailers are willing to work with us to find the best path forward and ensure that we're passing on justified cost increases.
Pamela Kaufman: Got it. Thank you.
Operator: Thank you. We have reached the end of our question-and-answer session. I'd like to turn the floor back over for any further or closing comments.
Tucker Marshall: Well, I just want to say thank you to all of you who tuned, in our investors, our analysts, our employees who have made these results possible, their tremendous commitment to our business and really just hope everyone has a great week, and thank you for listening.
Operator: Thank you. That does conclude today's teleconference and webcast. You may disconnect your line at this time and have a wonderful day. We thank you for your participation today.